Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Deluxe Quarterly Earnings Conference Call [Operator Instructions] Today's call is being recorded. At this time, I would like to turn the conference over to your host, Vice President of Strategy and Investor Relations, Brian Anderson. Please go ahead.
Brian Anderson: Thank you, operator, and welcome to the Deluxe Third Quarter 2025 Earnings Call. Joining me on today's call are Barry McCarthy, our President and Chief Executive Officer; and Chip Zint, our Chief Financial Officer. At the end of today's prepared remarks, we will take questions. Before we begin and as seen on the current slide, I'd like to remind everyone that comments made today regarding management's intentions, projections, financial estimates and expectations about the company's future strategy or performance are forward-looking in nature as defined in the Private Securities Litigation Reform Act of 1995. Additional information about factors that may cause actual results to differ from projections is set forth in the press release we furnished today in our Form 10-K for the year ended December 31, 2024, and in other company SEC filings. On the call today, we will discuss non-GAAP financial measures, including comparable adjusted revenue, adjusted and comparable adjusted EBITDA and EBITDA margin, adjusted and comparable adjusted EPS and free cash flow. All comparable adjusted metrics reflect the removal of impacts from business exits. In our press release, today's presentation and our filings with the SEC, you will find additional disclosures regarding the non-GAAP measures, including reconciliations of these measures to the most comparable measures under U.S. GAAP. Within the materials, we are also providing reconciliations of GAAP EPS to adjusted EPS, which may assist with your modeling. And with that, I'll hand it over to Barry.
Barry McCarthy: Thanks, Brian, and good evening, everyone. I'm pleased to report our strong third quarter results. During the period, we drove organic growth across all key financial metrics, revenue, adjusted EBITDA, EPS, margin rate and year-to-date cash flows. Adjusted EBITDA grew significantly faster than revenue with margins expanding across each operating segment, demonstrating our ability to deliver consistent operating leverage. This was our 11th consecutive quarter of year-over-year EBITDA expansion with profits growing faster than revenue. Our strong expansion of earnings also drove robust cash flow results. Year-to-date operating cash flows have expanded by more than 25% versus the prior 9-month period. These profit and cash flow outcomes contributed to continued reduction of our overall debt, aligning to our clear capital allocation priorities. As a result of the strong performance through 3 quarters, we reached our targeted year-end leverage ratio of 3.3x, a full quarter ahead of our previously indicated pacing. We were particularly pleased with this result as we continue to drive efficiencies on path to our 2026 year-end debt-to-EBITDA target ratio below 3x. Based on these results, we are raising our full year outlook range for adjusted EPS while affirming all other guidance metrics, narrowing to the midpoint or better of the prior ranges. Chip will cover these updates in additional detail in a bit. Our overall third quarter execution remained very strong, including the following enterprise-level financial highlights. 2.5% comparable adjusted revenue growth driven by a fourth consecutive quarter of double-digit year-over-year expansion for the Data segment, nearly 14% growth of total comparable adjusted EBITDA, reaching nearly $119 million for the period; expansion of margin rates by more than 200 basis points, reaching 22% of revenue; adjusted EPS growth of nearly 30% year-over-year to $1.09 per share. Continued reduction of our net debt lowered by more than $20 million during the quarter, contributing to our improved leverage ratio and year-to-date free cash flow expansion of just over 49%, growing by more than $31 million versus the prior year period. Each of these third quarter results align directly to our overall value creation algorithm, providing us strong momentum as we approach the end of the year and continue our progress toward 2026 financial targets. Now I'll briefly review some financial and segment highlights for the period in the context of 3 ongoing strategic priorities. Number one, shifting our revenue mix towards payments and data to deliver profitable organic growth; two, driving operating efficiencies across the enterprise; and three, increasing EBITDA and cash flow to both lower net debt and improve our leverage ratio. I'll discuss each of these 3 big strategic priorities in order, starting with our first priority, shifting our revenue mix towards payments and data. We're pleased with our progress here. Through the third quarter, blended Payments and Data segment revenue has grown nearly 9.5%. Combined, these segments are nearing revenue parity with our print businesses. Through Q3, payments and data now account for 47% of total company revenue, up nearly 400 basis points versus previous year. We're delivering our strategy to transition the company towards payments and data growth while leveraging robust cash flows from the Print segment. Data was our standout performer again in Q3, growing revenue by 46% year-over-year. We remain very pleased with continued strong FI demand for revenue-generating campaigns spanning deposit gathering, lending and other product offerings supported by our proven end-to-end data solutions. Our growth over the past 4 quarters has been driven by both continuing strong FI demand and expansion of data offerings to other markets whose target customers have high lifetime value. Beyond the good news in data, Merchant Services also continued its expansion as third quarter revenues expanded by around 5% versus the prior year period, improving sequentially as promised. We've reached our mid-single-digit expectations for the segment despite some persistent ongoing macroeconomic uncertainty. We continue to expand our merchant base, both through our direct-to-market channels as well as FI and embedded ISV partnerships. Additionally, our One Deluxe model continues to help accelerate merchants. For example, we recently announced the expansion of our existing multidivisional relationship with Peoples Bank, a $9.5 billion Ohio-based FI to now include merchant services. This is another example of Deluxe building trust by delivering in one area, giving us the opportunity to cross-sell offerings from multiple other divisions. Moving to B2B payments. Third quarter revenues for the segment declined modestly as we had signaled during the last quarter's call. Importantly, we did continue to see both sequential revenue growth for B2B and year-to-year year-over-year expansion of EBITDA margins, which improved 260 basis points on evolving mix and operating efficiencies across the segment. Further, we continue to expect to return to growth within B2B revenues as we exit 2025. Within Print, during the third quarter, the stronger margin check portion of the business continued to perform in line with our long-term expectations with revenues declining around 2%. As we discussed last quarter, the lower-margin branded promo portion of the Print segment has remained the primary area where demand headwinds persist. As expected, top line pressure across the product group again resulted in fairly immaterial impacts to segment profits. To summarize this first strategic priority, revenue growth from our combined payments and data businesses delivered overall third quarter growth, more than offsetting expected headwinds and anticipated secular declines, particularly in print. These results are consistent with our long-term strategy. Now on to our second big strategic priority, driving efficiencies across the business to improve margins and sustain our operating leverage. Ongoing cost discipline across the enterprise contributed to our success expanding margins and improving overall operating leverage during the third quarter. Of these savings, the overall enterprise reduced SG&A expenses by more than $15 million. This reflected a reduction of roughly 7% year-over-year during the third quarter. Overall, we were very pleased to deliver adjusted EBITDA margin expansion across all 4 operating segments simultaneously. Now on to our third big strategic priority, increasing adjusted EBITDA, driving cash flows and lowering both our net debt and leverage ratio. As I noted earlier, we continued to convert our expanding earnings base into strong cash flow results and to reduce our debt levels through the third quarter. This resulted in realization of our targeted year-end leverage ratio of 3.3x, 1 quarter ahead of our previously signaled expectations. Our third quarter free cash flow of just under $44 million reflected a 37% cash to EBITDA conversion rate. This result demonstrated continued improvement aligned to our targeted long-term yield remaining above 30%. To summarize overall, we are making clear progress on all 3 big strategic priorities: one, shifting the mix towards payments and data; two, driving operating efficiencies; and three, increasing cash flow, reducing debt and lowering our leverage ratio. As our overall third quarter and year-to-date results illustrate, we are achieving this progress through disciplined capital allocation and strong execution, pushing our value creation algorithm forward. Our pipeline remains strong across each operating segment, and we have positive momentum as we sprint towards the 2025 finish line and prepare to launch 2026. Finally, before passing this to Chip, I want to again to take a moment to thank my fellow Deluxers. As we celebrate the company's 110th anniversary this year, our strong enduring culture and clear commitment to meeting and exceeding our customers' needs while driving value for shareholders truly reflects the Deluxe difference. With that, I'll turn it over to Chip.
Chip Zint: Thank you, Barry, and good evening, everyone. As Barry noted in his opening, we were very pleased with our third quarter progress and particularly our better-than-anticipated delevering pace. Continuing expansion of our comparable adjusted EBITDA and EPS growth rates accompanying our strong year-to-date free cash flow conversion highlight our progress through 3 quarters of the year. Over recent quarters, we've shown continued improvement in the health of our core fundamentals and quality of earnings continues to improve as we execute our clear strategy. I'll begin this evening providing some additional detail around our consolidated highlights for the period before moving on to individual operating segment results, our balance sheet and cash flow progress and updated full year 2025 guidance ranges. For the third quarter, we reported total revenue of $540.2 million, increasing 2.2% against prior year reported results, while expanding 2.5% on a comparable adjusted basis. We reported GAAP net income of $33.7 million or $0.74 per share for the period, improving from $8.9 million or $0.20 per share in the third quarter of 2024. This increase was driven by improved operating results aligned with expansion of revenues during the quarter as well as lower overall SG&A and restructuring-related expenses versus the prior year period. Comparable adjusted EBITDA was $118.9 million, up 13.8% versus the third quarter of 2024. Comparable adjusted EBITDA margins improved to 22% of revenue, expanding by 220 basis points versus the prior year third quarter, as Barry referenced. Q3 comparable adjusted diluted EPS of $1.09 expanded by 29.8% from $0.84 in 2024, driven by the operating income drivers previously noted, net of a slightly higher year-over-year share count. Turning now to our operating segment results, beginning with the Merchant Services business. The Merchant segment grew revenues by 4.8% year-over-year, finishing the quarter at $98 million, while continuing a sequential quarterly acceleration trend from 2.9% second quarter growth. This result reflected largely stable core merchant processing volumes as well as channel partner additions and planned in-year pricing actions. As is customary, these growth drivers netted against normal course merchant attrition activity and reflected macroeconomic conditions continuing to signal some ongoing uncertainty pressuring areas of discretionary spend. Segment adjusted EBITDA finished at $20.4 million, improving $2.6 million or 14.6% versus the prior year, with margins expanding 180 basis points to 20.8%, driven by both the improved sequential revenue growth and ongoing cost efficiencies. We continue to expect full year Merchant segment revenue growth in the low single-digit range with fourth quarter revenues remaining strong as demonstrated over previous quarters. We also continue to anticipate a low 20% adjusted EBITDA margin profile. Both these expectations are consistent with our prior guidance commentary for the segment. Moving to B2B payments. For the third quarter, B2B segment revenues finished at $73.1 million, sequentially improving from the prior quarter, but declining 2.7% versus the prior year result, consistent with the quarterly cadence expectation within our prior quarter commentary. B2B adjusted EBITDA expanded during the quarter, finishing at $16.8 million, reflecting growth of 9.8% versus the prior year period. Third quarter adjusted EBITDA margins of 23% for the segment reflected a 260 basis points expansion versus 2024, as Barry noted. The segment sustained its focus on driving efficiencies across lockbox operations while optimizing SG&A to align to the anticipated onboarding and implementation efforts for new B2B wins across the portfolio. We continue to expect low single-digit full year revenue growth for B2B, implying a return to an improved fourth quarter exit growth rate for the business as we enter 2026. Margins are expected to remain in the low to mid-20% range, consistent with overall year-to-date levels within the segment. Moving on to Data Solutions. This segment extended its revenue growth trajectory during the third quarter as demand for core marketing campaign execution across key FI partners continued to accelerate. Q3 data segment revenues finished at $89.2 million, reflecting growth of 46% versus the third quarter of 2024. This growth reflected a fourth consecutive quarter of strong double-digit demand growth for core bank customer marketing campaigns. Our FI clients have increasingly turned to our proven data-enabled audience development and targeted marketing capabilities to support revenue generation across their core lines of business. Data adjusted EBITDA finished at $29.1 million, growing 66.3% versus the prior year, while adjusted EBITDA margins expanded by 400 basis points to reach 32.6% for the quarter. These results were primarily reflective of the level of revenue expansion during the period. The segment further benefited from operating expense efficiencies inclusive of volume-related savings. Specifically, over the last 6 quarters, as the data business has grown rapidly, we have realized volume-related vendor rebates, benefiting segment margins beyond our long-term expectation of the low 20% EBITDA margin range. Looking ahead, with baseline volumes now set at these increased levels, we would no longer anticipate having this magnitude of rebates and anticipate overall segment EBITDA margins beginning to return to the previously signaled low 20s range beginning in the fourth quarter. We also expect some typical fourth quarter revenue moderation as the holiday period is seasonally lower for marketing activity across segments served by our core data offerings. We will also begin to lap our more challenging prior year results. Despite this forecasted moderation, we expect to see strong growth continue with fourth quarter revenues remaining above the long-term mid- to high single-digit growth expectations. To summarize for the Data segment, strong year-to-date growth for this segment leads to an expectation of a solid double-digit full year revenue growth for 2025 with EBITDA margins in the mid- to high 20% range. Turning lastly to our print lines of business. Print segment third quarter revenue was $279.9 million, reflecting an overall decline of 5.9% versus the prior year. Branded promotional products continue to see the primary revenue headwinds, declining 14.7% year-over-year, improved from last quarter while remaining concentrated towards lower-margin noncore product offerings. As Barry noted, legacy check continued to perform well, consistent with our recent history, declining 2.1% for the period. Forms and other business products declined 7.8% during the quarter. On a combined basis, these 2 core areas blend to an overall 3.6% rate of year-over-year decline, consistent with our low to mid-single-digit history and long-term expectations for the segment. The 4% rate of adjusted EBITDA decline seen within Print for the quarter aligns to the blended rate of decline for the more core print product focus areas. This result drove an overall print margin rate of 33.4%, remaining solidly in line with our longer-term low 30s target for the segment. Importantly, and despite shorter-cycle promo revenue challenges, we expanded margin rate by 60 basis points versus our prior year Q3 results. These healthy ongoing margin results reflect the overall continued segment mix shift towards stronger margin offerings, the continued focus on driving operating expense discipline and cost efficiencies realized across our scaled print fulfillment operations. Consistent with our strategy, we remain focused on core profit drivers for the Print segment, leveraging in-house production of checks and printed forms and accessories. For the near term, we expect the noncore branded promo portion of print revenue to continue to decline faster than the higher-margin offerings within the segment, limiting impact on overall print profitability. On balance, we continue to anticipate revenue declines in the mid-single-digit range across the overall Print segment for the full year, with adjusted EBITDA margins remaining in the low 30s, consistent with our longer-term flat rate outlook. Turning now to our third quarter balance sheet and cash flow progress. We finished Q3 with a net debt level of $1.42 billion, reflecting a reduction of just over $44.5 million versus our 2024 year-end level of $1.47 billion. As Barry referenced, this result reflected a sequential improvement of just over $20.5 million versus our second quarter ending debt balance, consistent with our clear commitment to debt reduction as a top capital allocation priority. We were particularly pleased to finish the quarter with a net debt to adjusted EBITDA ratio of 3.3x, showing continued improvement of our leverage position from the 3.6x ratio reported at the end of 2024. Reaching our targeted 2025 year-end leverage ratio on an accelerated basis demonstrated our ongoing commitment to balance sheet improvement. Additionally, this result will reduce our ongoing interest obligation as we now move to a lower interest tier for variable rate borrowings per our credit agreement terms. Our long-term strategic leverage target remains at 3x or better by the end of 2026. Free cash flow, defined as cash provided by operating activities less capital expenditures, finished at $95.9 million for the year-to-date period. This reflected improvement of $31.6 million from the results reported through the first 3 quarters of the prior year and finished within roughly $4 million of our full year 2024 free cash flow result. Our year-to-date improvement continued to be driven by strong operating results and core working capital efficiency in addition to significantly lower restructuring spend versus the prior year period. Finally, we remain well positioned from both a liquidity and go-forward capital structure perspective following our December 2024 refinancing. As of the end of the third quarter, we maintained over $390 million of available revolver capacity with all material debt maturities extended to the 2029 horizon. Before turning to guidance, consistent with prior quarters, our Board approved a regular quarterly dividend of $0.30 per share on all outstanding shares. The dividend will be payable on December 1, 2025, to all shareholders of record as of market closing on November 17, 2025. As mentioned previously, our year-to-date execution and momentum provide confidence to raise our overall range of expectations for adjusted EPS. Further, we are affirming our existing guidance for revenue, adjusted EBITDA and free cash flow, each within a narrow range at or above the midpoint of our prior outlook for the year. With that context, our updated full year guidance figures are shown on the current slide, keeping in mind all figures are approximate. Revenue of $2.11 billion to $2.13 billion, which represents a range of flat to positive 1% comparable adjusted growth versus 2024. Adjusted EBITDA of $425 million to $435 million, reflecting between 5% and 7% comparable adjusted growth. Adjusted EPS of $3.45 to $3.60, now a range of 6% to 10% comparable adjusted growth and free cash flow of $140 million to $150 million. Finally, to further assist with your modeling, our guidance assumes the following: interest expense of approximately $123 million, an adjusted tax rate of 26%; depreciation and amortization of $133 million, of which acquisition amortization is approximately $45 million; an average outstanding share count of 45.5 million shares and capital expenditures between $90 million and $100 million. This guidance remains subject to, among other things, prevailing macroeconomic conditions, as noted previously, including interest rates, labor supply issues, inflation and the impact of divestitures. In summary, we remain pleased with our continued strong performance shown in the third quarter and year-to-date periods as the underlying core fundamentals of the business continue to improve. Revenue mix continues to rotate towards the growing Payments and Data segments. Adjusted EBITDA and EBITDA margins continue to expand. Free cash flow conversion continues to improve and the balance sheet is the healthiest it's been since 2021 as we achieve our anticipated year-end leverage ratio ahead of schedule. All of this is a result of the clear strategy and capital allocation priorities we have been executing against over recent years, and we look forward to continuing this momentum. Operator, we are now ready to take questions.
Operator: [Operator Instructions] We will take our first question.
Kartik Mehta: This is Kartik, Northcoast Research. Chip, I wanted to talk about free cash flow, impressive increase in guidance. And maybe you can talk through the drivers behind it and the sustainability of the free cash flow as we move into next year.
Chip Zint: Yes, sure. Thank you, Kartik. Good to see you. I think you know over the last few years, we've been really focused on improving the free cash flow, not only absolute dollar, but on a conversion rate. And as we've outlined over the last couple of quarters, the goal of adding $100 million of annual run rate free cash flow coming into 2026 was one of the core tenets of the North Star program. And so we came into the year this year, and we laid it out for you exactly how we would get there, achieving the original guidance and ultimately raising it to where we did would be a function of improved profitability, having lower restructuring spend and continuing to execute strong working capital efficiency in terms of maintaining a solid DSO and a solid DPO. And so what you have seen throughout this year is us just execute on that strategy. So as we sit here today, executing nearly in line with what we delivered for the full year a year ago, that obviously gives us confidence in narrowing our guidance range up to the upper end and obviously puts us on a good path to be able to deliver that full run rate $100 million as we go into next year. So very pleased with the progress we've made improving the EBITDA and the underlying profitability of the business as well as pulling back on the restructuring spending, winding down that program and delivering that improved free cash flow conversion that we've been talking about.
Kartik Mehta: Barry, on the merchant side, you talked about Peoples Bank here in Ohio as a partner. And I'm wondering if you could talk about a little bit about the pipeline for your distribution partners, whether it be financial institutions, ISVs or any other channel you're kind of focused on right now?
Barry McCarthy: Sure. So let me just tell a little bit more about the Peoples Bank win because I think it's really a good small view of how effective our One Deluxe go-to-market solution, our process is. So as we mentioned in -- or as I mentioned in my prepared comments, I talked about how we can convert success in one part of the company into success across many parts of the company by building trust and delivering what the customer needs. And Peoples Bank is the latest example that we can talk about, which is follow that exact playbook and that exact model where we start with one place, we expand to multiple others. And in this case, now, it also includes the merchant business. And we have a very strong healthy pipeline of additional opportunities for us in financial institutions, but also in ISVs, our integrated software vendors. And we have recently hired a new sales leader in the ISV space that we think will also help us accelerate our efforts there. But I really think the main message here is the effectiveness of our One Deluxe model, where we can land and build a relationship with the customer, deliver on our promises and our commitments and then expand that relationship over time. And merchant is a clear beneficiary of that, which was central to our original hypothesis of moving into the merchant space.
Operator: And we will take our next question.
Charles Strauzer: It's Charlie Strauzer with CJS. Just a couple of quick questions. Another impressive quarter from [indiscernible] and hoping that you can expand a little bit further as to kind of what the key drivers were and how sustainable this kind of growth can be a number of quarters in a row now where data has had some really good strength there. Maybe a little bit more about that.
Barry McCarthy: Sure, Charlie. You'll recall that we had made an investment in building our infrastructure so that we have what we believe is the largest data lake of consumer and small business data, we think, in the country. And then, of course, we put our proprietary AI tools that sit on top of that data lake to help build high converting lead list helping those institutions or organizations identify, target and market to a customer that's likely to be interested in the offering of that organization. In this particular moment in time, financial institutions are increasing their investment, specifically around all of their core products, whether it is low-cost deposits, but it's also things like high-reward credit cards, it's around lines and loans and many other bank products. And we can see some great uptake on that. And we think that is sustainable, Charlie. Now probably not at the rate we've been talking about, and Chip did a good job, I think, of setting that expectation. But we have a very unique offering here that we can show a specific return on a marketing expense that delivers a customer with measurable value to a financial institution. And that is a very compelling proposition for financial institutions. But we're also expanding, as you know, Charlie, beyond financial institutions into other market verticals where there's a high lifetime value for that customer, and it's worth a significant marketing investment to acquire that customer. And we continue to make inroads there, and we feel very good and bullish about this business over the intermediate long term as well as what's right in front of us in Q4.
Charles Strauzer: Excellent. Yes, very impressive. And just a follow-up question on the Print segment, margins were above where they've been in at least in recent memory. And what was this all from? Is it basically driven by promo having better margins? Or is it across the board? Maybe a little more color there, that would be great.
Barry McCarthy: Charlie, we've been saying for a while that we have 3 core strategic initiatives for the company. We want to shift our mix towards payments and data. We want to drive efficiency across our portfolio. We want to increase EBITDA, free cash flow to lower debt and our leverage ratio. In the case of the print business, we have a great cash generator in the check business, and that had a very solid and very predictable Q3. We continue to struggle a bit in the promo business with just headwinds in the industry. We've also just been very clear, we're going to focus on profitable volume. We're not going to play the game that others in the space are playing, which is taking product or making sales that have little or no margin. And so we're walking away from deals that we just don't think we can make a decent profit on. And you can see that in the revenue part of that equation. But what you come down to what's really important here is that we're able to largely hold on to the EBITDA. And as you can see, we're expanding margin here as well. So we think it's just a matter of being really choiceful and really fully in alignment with our 3 big strategic initiatives around shifting mix to payments and data, driving efficiency, increasing EBITDA, free cash flow, lowering debt and the leverage ratio that we're being very choiceful and disciplined about the business we take and making sure we do have is operated with great efficiency. Chip, do you want to build on that?
Chip Zint: Yes, I think you said it well. But Charlie, if you think about the extra materials we've added in the last few quarters, you can see while promo -- the promo side is still struggling and declining a bit higher than we would like, it has improved. But to Barry's point, the real story is how Check continues to deliver solid results, decline better than long-term expectations and how those 2 things together deliver a really solid mix story to the business. So I think Barry said it all right. When you put that all together and you add on top of it, the focus on efficiency that we've been delivering over the last 2 years as part of our efficiency improvement program, it's all leading to this solid sustainable low 30s margin rate that we've been talking about for print that you can see is really stabilizing. And so we're very proud of that result and very pleased with how that team is executing.
Charles Strauzer: Great. And can I sneak one more in, kind of a bigger picture thing as we approach year-end here. Any initial thoughts for next year?
Barry McCarthy: That was a really good try, Charlie. We'll be back at the next call with good guidance for next year.
Operator: [Operator Instructions] And we will go to our next question.
Jonnathan Navarrete: It's Jonathan from TD Cowen. Just one question for me. Now that you've reached your leverage target, and congrats on that, how are you balancing capital between, let's say, debt reduction, potential buybacks, some M&A and maybe even some reinvestments in the growth segments like payments and data?
Chip Zint: Yes. Well, first of all, thank you for acknowledging that progress, Jonathan. I think you know we've been very committed to this goal of bringing the leverage ratio down and getting ultimately at or below 3x sometime next year. So obviously, the work is not done yet. Very pleased with the execution and progress that allowed us to reach our original target for year-end '25 a bit faster. But nothing really changes. Our capital allocation priorities remain. We're still focused on paying down that debt and bringing the leverage ratio down. We're still marching down the path towards that 3x or better by the end of next year. And we're going to continue to invest internally for high-return growth that helps Barry's #1 strategic priority, shifting the mix to payments and data. And then obviously, we'll keep returning value to shareholders through the dividend. So very, very pleased with the progress, but don't expect anything to change. We're going to keep executing based off this updated guidance range we've provided, I would say we're now in a place to land year-end around 3.25 depending on the rounding. So continuing great progress, and we're continuing on that journey to get at or below 3x by the end of next year.
Operator: And we will take our next question.
Marc Riddick: It's Marc Riddick from Sidoti here. I was sort of -- you've sort of covered quite a bit already. I wanted to sort of touch on how we should think about the -- how CapEx might flow out through -- we have for the year. Is it reasonable to think that we might see similar levels next year? Or how should we think about the potential for whether it's technology-driven investments or the like, how that might play into CapEx next year, just generally, not a specific guide on numbers, I suppose, but just sort of generally.
Chip Zint: Yes. So again, to reiterate, we've been holding in this $90 million to $100 million guidance range for all of this year, and we're executing pretty well in that. Stopping short of providing full guidance. But where we are is a very comfortable level for us. Like I said, we continue to focus on good internal return projects that can allow us to drive that strategic initiative to shift the mix. And so we're obviously not going to starve the business, but we also feel good about the progress we've made. So as we get into next year, we'll go through our normal process of evaluating all the investment opportunities inside the business and stack rank them based off the best returns, helping drive the long-term strategy. And I would expect CapEx will settle somewhere around where it is right now. But again, stopping short of guidance, we'll wait to see where the final demands of the business land and what are the best returns inside the 4 walls to deliver the best outcome for both investors and our customers.
Marc Riddick: Great. And then I guess -- and admittedly, this might be a bit of a squishy question, but are there any parts of the business where you would like to expand bandwidth as far as internal, whether it's personnel or the like? Are there any areas that you feel as though you might need to expand bandwidth in the near term to take advantage of opportunities?
Barry McCarthy: So I appreciate the question, Marc. We regularly look at our resource allocation, our capital allocation and where we're spending for maximum return. We don't anticipate any need for a surge in any one of our businesses. We are investing appropriately, particularly in the payments and data, the growth businesses for the future. I mentioned earlier, we're putting a bit more investment towards sales, particularly in the merchant business. But we like the mix of what we have today and how we're investing to grow and really like how it played out for us in Q3.
Operator: And at this time, we have no further questions. I would now like to turn the call back.
Brian Anderson: Thanks, Rachel. Before we conclude, I'd like to share that management will be participating at the Citizens Financial Services Conference in New York and the Stephens Annual Investment Conference in Nashville on November 18 and 19, respectively, and at the Bank of America Leveraged Finance Conference on December 2 and 3 during the fourth quarter, for which additional information will be posted on the Investor Relations website. Thank you again for joining us today, and we look forward to speaking with you all again in early February as we share our fourth quarter and full year 2025 results.
Operator: Thank you. This concludes today's call. Thank you for your participation. You may now disconnect.